Operator: Good morning, and welcome to The Eastern Company Fourth Quarter Fiscal Year 2025 Earnings Call. At this time, all participants are in a listen-only mode, and the floor will be open for questions following the presentation. If anyone should require operator assistance during this conference, please note this conference is being recorded. Marianne Barr, Treasurer and Corporate Secretary at The Eastern Company, the floor is yours.
Marianne Barr: Good morning, and thank you, everyone, for joining us this morning for a review of The Eastern Company's results for the fourth quarter and full year 2025. With me on the call are Ryan Schroeder, Chief Executive Officer, and Nicholas Vlahos, Chief Financial Officer. The company issued its earnings press release yesterday after market close. If anyone has not yet seen the release, please visit the Investors Information section of the company's website at www.easterncompany.com, where you will find the release under Financial News. Please note that some of the information you will hear during today's call will consist of forward-looking statements about the company's future financial performance and business prospects, including, without limitation, statements regarding revenue, gross margins, operating expenses, other income and expenses, taxes, and business outlook. These forward-looking statements are subject to risks and uncertainties that could cause actual results or trends to differ significantly from those projected in these forward-looking statements. We undertake no obligation to review or update any forward-looking statements to reflect events or circumstances that occur after the call. For more information regarding these risks and uncertainties, please refer to risk factors discussed in our SEC filings, including Form 10-Ks filed with the SEC on 03/03/2026, for the fiscal year 2025. In addition, during today's call, we will discuss non-GAAP financial measures that we believe are useful supplemental measures of The Eastern Company's performance. These non-GAAP measures should be considered in addition to, and not as a substitute for, or in isolation from, GAAP results. A reconciliation of each of the non-GAAP measures discussed during today's call to the most directly comparable GAAP measure can be found in the earnings press release. I will now turn the call over to Ryan Schroeder.
Ryan Schroeder: Thanks, Marianne. 2025 is a year defined by two things: challenging end markets, particularly heavy truck and automotive, and significant operational progress that positions us well for the future. Our primary end markets remained under pressure throughout most of the year, though we began to see early signs of stabilization in November and December. At the same time, we were navigating tariff impacts and broader macro uncertainties. As a result, our financial performance reflects both the difficult environment and the actions we took to respond decisively. For the full year, revenue was $249 million, down 9% year over year. Adjusted EBITDA was $19.4 million, representing a 7.8% margin, compared to $26.3 million, or a 9.6% margin last year. Importantly, the performance represents roughly a 7% margin on reduced operating scale, which we view as a commendable outcome given the revenue pressure. Encouragingly, the fourth quarter showed sequential improvement. Revenue increased 4% from the third quarter, rising from $55.3 million to $57.5 million. Adjusted EBITDA improved by $1.1 million sequentially. That reflects a 50% margin on the incremental revenue in Q3, clear evidence that our cost actions are working and flowing through to the bottom line as volumes stabilize. While we could not control when the markets would turn, we made sure that 2025 would be the year we prepared The Eastern Company to win going forward. Here is what we did. In 2025, we made the decisive structural changes to The Eastern Company's cost base, portfolio, and operating model. As a result, The Eastern Company is leaner, more focused, and better positioned with a solid foundation for its next chapter of growth. First, we lowered our cost structure. We reduced our cost base, generating approximately $4 million in annual savings from restructuring and footprint optimization initiatives. At the same time, we strengthened leadership. We hired Zach Gorney to lead Everhard, promoted Emilio Ruffalo to lead Big 3, and added two strong commercial leaders to drive growth in both of those businesses. Second, we streamlined the portfolio. We divested the underperforming Centralia Mold division of Big 3, a business that was a drag on earnings. This allowed us to concentrate capital and management attention on our high-conviction core businesses. Third, we addressed tariffs head on. We neutralized approximately $10 million of tariff exposure, offsetting substantially all of the impact through pricing actions and supply chain cost reductions. We are also building more flexible and resilient supply chains, giving customers multiple sourcing options, both domestic and offshore, so we can pivot as the trade environment evolves. Fourth, we invested in future revenue. We executed a commercial realignment to strengthen our go-to-market capabilities going into 2026, expanding new customer relationships and targeting new end markets. We maintained our investment in product development throughout 2025, with output that will become increasingly visible in 2026 and beyond. Notably, our Asia business grew 25% year over year following the deployment of dedicated sales resources in the region, a geography where we see opportunity for incremental profitable growth going into the future. Fifth, we strengthened the balance sheet. We enhanced financial flexibility by refinancing our credit facility. The incremental capital supports organic growth, provides a buffer against macro uncertainty, and positions us to act decisively when the right M&A opportunity arises. Finally, we demonstrated capital discipline. We reduced debt by $8.7 million, returned $2.7 million to shareholders, and repurchased approximately 153,000 shares, or about 2.5% of shares outstanding. Our operating model demonstrated resilience. A 9% revenue decline resulted in only a 20-basis-point gross margin erosion in the fourth quarter. Sequential financial improvement and momentum in our sales funnel suggest the third quarter represented the trough. To summarize, we exited 2025 with a leaner cost structure, a more efficient operational footprint, a stronger balance sheet, and a leadership team that is action-oriented and focused on results. 2025 was the year we built the foundation. I will now turn the call over to Nicholas Vlahos to review our fourth quarter and full year financial results in more detail. Nick, over to you.
Nicholas Vlahos: Thanks, Ryan. Before I review the company financial results from continuing operations for the fourth quarter and full year 2025, please note that fiscal year 2025 was a 53-week year with the fourth quarter spanning 14 weeks compared to 13 weeks in the prior-year period. Beginning with net sales, in the fourth quarter of 2025, net sales decreased 13.7% to $57.5 million from $66.7 million in the fourth quarter of 2024. This was due to lower shipments of returnable transport packaging products and truck mirror assemblies. For the full year 2025, net sales decreased 9% to $249 million from $272.8 million in 2024, also due to lower shipments of returnable transport packaging products and truck mirror assemblies. Our backlog as of 01/03/2026 was $81.1 million, a decrease of 10%, or about $48.0 million, from $89.1 million as of 12/28/2024. The decrease was primarily driven by lower orders for returnable transport packaging products. Gross margin as a percentage of sales for the fourth quarter of 2025 was 22.8% compared to 23.0% in the fourth quarter of 2024. This decrease was primarily due to higher material costs on lower sales volume. For the full year 2025, gross margin as a percentage of sales was 22.9% compared to 24.7% in 2024. The decline was attributable to the same factors. As a percentage of net sales, product development costs were 1.6% in the fourth quarter of 2025 compared to 1.7% in the prior period. For the full year 2025 and 2024, product development costs as a percentage of net sales were 1.6% and 1.8%, respectively. Our investment in new products remains disciplined relative to the revenue base during the year. Selling and administrative expenses in the fourth quarter of 2025 decreased $1.2 million, or 10.5%, compared to the fourth quarter of 2024. The decrease was driven by lower commissions, legal fees, and personnel-related costs. For the full year, selling and administrative expenses were essentially flat versus 2024, though 2025 included $2.5 million of restructuring charges, primarily related to the reduction in force in the second quarter and facility cost actions. Operating profit for the fourth quarter of 2025 was $2.2 million, or 3.8% of net sales, compared to $3.0 million, or 4.5% of net sales, in the prior-year period. Other income and expense for the fourth quarter of 2025 was $200,000 of expense compared to $300,000 of expense in the prior period. For the full year 2025, other expense was $500,000 compared to $400,000 of expense in 2024, an increase of $100,000. The increase was driven primarily by a one-time $500,000 write-off of unamortized deferred financing fees associated with the termination of our prior TD Bank agreement, recorded in the fourth quarter of 2025 in connection with our refinancing into a new $100 million five-year revolving credit facility with Citizens Bank. Partially offsetting this charge was a recovery of employment tax credits during the year. Interest expense in the fourth quarter of 2025 was $700,000, unchanged from the same period in the prior year. For the full year, interest expense was $2.7 million, essentially flat with $2.7 million recorded in fiscal 2024. Net income from continuing operations for the fourth quarter of 2025 was $1.2 million, or $0.19 per diluted share, compared to $1.6 million, or $0.26 per diluted share, for the same period in 2024. For the full year 2025, net income from continuing operations decreased 57% to $6.0 million, or $0.98 per diluted share, compared to $13.2 million, or $2.13 per diluted share, for 2024. Turning to our balance sheet, during the fourth quarter, we refinanced our credit facility. In October, we entered into a new $100 million five-year revolving credit facility with Citizens Bank, which supports our long-term growth and enhances our financial flexibility. As of 03/03/2026, we had $66.0 million of availability under the Citizens facility. At the end of Q4 2025, our senior net leverage ratio was 1.35 to 1, compared to 1.64 to 1 at the end of the third quarter of 2025 and 1.23 to 1 at the end of 2024. During the year, we returned $2.7 million to shareholders through dividends. We also repurchased approximately 153,000 shares, or about $3.7 million, of common stock under the repurchase program authorized by our board in April 2025. That completes my financial review. I will now turn the call back to Ryan Schroeder.
Ryan Schroeder: Thanks, Nick. So turning to 2026, after spending 2025 doing the structural work, we entered the year with a leaner cost base, a strengthening commercial pipeline, and end market conditions that, while still evolving, are moving in the right direction. The leading indicators we monitor most closely, including order flow, particularly in November and December, OEM production signals, and the depth and quality of our opportunity funnel, are pointing in a more favorable direction than they were a year ago. We remain disciplined in our outlook, but we are cautiously optimistic that we are entering a more constructive demand environment. M&A continues to be an important component of our long-term value creation strategy. We are actively evaluating opportunities that meet our strategic and financial criteria. The pipeline of potential transactions has grown meaningfully over the past year. That said, our approach remains highly disciplined. We are focused on targets that are strategically aligned and immediately accretive. We will update shareholders when there is something meaningful to share. Before opening the call for questions, I would like to briefly address the board and governance matters. In 2025, we welcomed Chan Galvado to our board. Chan brings significant experience that is highly relevant to our end markets and long-term strategy. Earlier this week, we announced that Charlie Henry and Mike Marty will not stand for reelection. I want to sincerely thank both Charlie and Mike for their years of service and meaningful contributions to The Eastern Company. We also used this opportunity to thoughtfully reduce the size of the board, improving agility and decision-making effectiveness. In parallel, we conducted a careful review of our corporate bylaws and implemented several updates designed to enhance shareholder alignment and governance transparency. We will provide additional details in our upcoming proxy filing. With that, operator, please open the line for questions.
Operator: Thank you very much. We will now be conducting a question-and-answer session. If you would like to ask a question, a confirmation tone will indicate that your line is in the queue. You may press star 2 if you would like to remove your question from the queue. For anyone using speaker equipment, it might be necessary to pick up your handset before you press the keys. Please wait a moment while we poll for questions. Just a reminder, it is star 1 if you would like to ask a question. I am not seeing any questions in the queue at the moment. There are no questions at the moment, Ryan.
Ryan Schroeder: Thank you, Jenny, and thank you, everyone, for joining us today. To close, 2025 was the year that we built the foundation. We took decisive action to lower costs, strengthen our portfolio, reinforce our balance sheet, and invest for future growth, all while navigating a challenging market environment. As we enter 2026, we do so as a leaner, more focused, and more resilient organization. Early indicators are encouraging. Our commercial pipeline is strengthening, and our operating model has demonstrated its ability to perform across cycles. We remain disciplined, focused on execution, and committed to delivering long-term value for our shareholders. With that, I would like to say thank you for your continued support in The Eastern Company, and we look forward to updating you next quarter.
Operator: Thank you very much. This does conclude today's conference. You may disconnect your phone lines at this time and have a wonderful day. We thank you for your participation.